Operator: Hello, and welcome to the SDI Group plc Final Results Presentation. [Operator Instructions] Before we begin, I'd like to submit the following poll. I'd now like to hand you over to CEO, Stephen Brown. Over to you, sir.
Stephen Mark Brown: Thank you. Hello, and a warm welcome to SDI's Group financial results for the year ending 30th of April 2025. I'm Stephen Brown, CEO of SDI Group, and joining me is CFO, Ami Sharma. Today, we'll walk you through our group summary, provide an operational overview, present final results for FY '25 and discuss the outlook for next year. At the end, we will, of course, open for Q&A. First, let me introduce you to the SDI Group and of course, our business model. First and foremost, we are a buy-and-build group with currently 17 established businesses and roughly 500 employees operating 19 locations worldwide. And in FY '25, we achieved a total group revenue in excess of GBP 66 million. We operate a decentralized model of fostering autonomy, independence and agility. Our focus is on high-growth scientific and processing niche markets, and we have a proven strategy for combining organic growth with acquisitions, having made 20 since 2014. With our operations being geographically diverse, 47% of our direct revenues are generated from overseas markets. Indirectly, overseas revenues are much higher due to our strategic distribution channels, although our exposure to the U.S. is low at around 10%. Importantly, to our strategy, our buy-and-build model relies on a compounding cycle of growth. Our business model is, in fact, our group strategy and focuses on 2 key pillars, organic and inorganic growth. Our organic growth strategies include synergies, collaboration, operational excellence and investment for growth. Cash flow generated from organic activities feeds into our inorganic growth, where we seek to acquire complementary profitable businesses in niche markets, and this feeds back to create a compounding effect. We are, of course, driven by efficient and effective capital allocation. Now to provide a bit more detail on what we delivered during the year. The year has been focused on executing the refined strategy outlined last year and was a year of significant strategic progress where we delivered a solid financial performance and started to see our plans come to fruition. We continue to facilitate knowledge sharing and synergies across the group, supporting portfolio management teams to deliver. Our growth continued to be supported by strategic acquisitions this year, and we significantly delivered 3 excellent acquisitions since we reported last. These include InspecVision, Collins Walker and post period end, Severn Thermal Solutions. I'm pleased to report that our business model has demonstrated resilience against the backdrop of challenging and uncertain global conditions. I would now like to add a bit more color on some of our key organic growth initiatives. We focus on leveraging the sum of our parts, identifying opportunities to improve efficiencies and market access across the businesses. We have continued investment into R&D and new product launches, driven by customer needs in response to market demands and requirements. There will be many collaboration initiatives. For example, we had a powerful presence at prestigious Lab Innovations Expo, bringing 6 companies together to promote a unified product offering. And we delivered collaborative products and contracts, including Fraser and Monmouth, Atik and Synoptics, Collins Walker and LTE and Severn and ATC. We have improved knowledge sharing across the group. To give some examples, we're delivering value from our group marketing function. And we recently appointed divisional managing directors for 2 of our divisions to improve capacity, capability and resources for driving organic growth. Let's now look at our operating divisions in turn. First off is Industrial & Scientific Products division. We've seen solid performance across the division with total revenues up 10% to in excess of GBP 25 million, including InspecVision who met expectations. I would like to call out a few highlights. For Atik, performed well post restructuring work in 2024, this year seeing consolidating operations to one site in Lisbon. Fraser's growth was underpinned by increased product awareness in broader markets. We also had a number of new product launches across the division, in particular, from ATC, who focused on sustainable product offering due to regulatory market demand, in particular from the U.S. And Atik launching its most advanced CMOS camera for demanding applications such as neutron imaging and astrophotography. Now let us look at the Industrial & Synthetic Sensors segment. We delivered revenue growth of 6% to GBP 17 million. This was largely driven by solid performance from Sentek, increased demand from new and existing customers for both established and bespoke solutions and a strong capacity for market expansion. Also, Chell delivered and continued to perform well with an expanded product range. And MPB with notable growth in end markets, which has driven growth in the period. And finally, let us look at the Laboratory Equipment segment, which total revenues in lab equipment decreased 11% to GBP 24 million. This was primarily reflecting challenging conditions in the life sciences and biomedical markets. I'm pleased that the organic initiatives we had implemented in some of the segment businesses started to have impact on driving recovery in the second half of the year. Safelab had an exceptional performance through contract momentum. In addition, they delivered a significant government contract award for the delivery of high-quality film covers. Monmouth has its largest ever single clean room contract, although this will be delivered in FY '26 and is now linked to the new SDI implemented strategy for refocused product offering at Monmouth for higher-value products. As expected, there were numerous new product launches across the division, including LTE's new range of autoclaves, with a focus on sustainability, smart performance and safety. And Synoptics delivered a focused compact imaging system targeting smaller laboratories. Moving on to our inorganic strategic development. I would now like to talk about our new additions to the group. As mentioned earlier, we've seen 3 earnings-enhancing acquisitions since we last reported in line with our key criteria. Firstly, InspecVision. InspecVision is an excellent acquisition, bringing to the group significant technical advancement with AI and ML capabilities. They will remain autonomous whilst exploring international and r-to-market synergies with Fraser Anti-Statics. They manufacture precision measurement machinery for smart manufacturing, automated inspection and reverse engineering. And they had a strong performance post-acquisition, including market validation of their recently launched product, leveraging in-house developed machine learning technology, having received their first significant customer sale for the new product. And also 2 months ago, they received for the second time, the Kings Award for Enterprise, validating the quality and strength as a business. Now let's look at Collins Walker, who provide industrial scale electric boilers for steam and hot water applications. They are smaller bolt-on acquisition with significant opportunity for growth with strong tailwinds from regulatory drivers for electrification and the drive to net zero. Being a bolt-on, we will be integrating operations and manufacturing into our portfolio to increase capacity whilst keeping the brand, sales and service running independently. And lastly, let's look at Severn Thermal Solutions, our most recent acquisition completed post year-end. Severn will be kept autonomous as part of the centralized model. They manufacture and sell high-temperature furnace systems and environmental chambers for advanced material processing and testing. focused on innovative high-value markets such as aerospace, semiconductors and nuclear, they boast a strong blue-chip global customer base with solid international exposure. They have numerous synergies and cross-selling opportunities within the lab division and more broader across the group. Now over to Ami for an overview of the financial results for the year.
Amitabh Sharma: Thanks, Stephen. Hello, everyone. Looking at the financial highlights for the year. From a revenue and profit perspective, we overcame a tough first half. Full year revenue showed some growth overall due to acquisitions, but there was a small organic decline of 1.6%. The good news is we saw some organic revenue growth in the second half of the year. Adjusted EBIT reached GBP 10 million compared to GBP 9.6 million in the previous financial year, and net operating margins improved from 14.5% to 15%. As you can see, we saw some growth in adjusted PBT, and there was a strong cash performance with over 100% operating cash conversion, generating GBP 3 million more than last year. As a result, net debt was only slightly higher than last year despite 2 acquisitions over the year. I'm also pleased to report that we've had a strong order intake year with all divisions up on a like-for-like basis compared to FY '24. Turning to the income statement. The GBP 2.8 million acquisition growth came from Peak Sensors relating to the first half of the financial year and InspecVision in the second half. As I mentioned at the half year, they were closed off or disposed of entity revenues in the comparative numbers, and these arose from Uniform Engineering and Synoptics Inc. This totaled GBP 1.3 million. After excluding all of these, the organic revenue declined 1.6% on a constant currency basis. I'm pleased to report our gross profit margin increased by 2.8% to 64.9%. This is on materials only. On a like-for-like basis, gross margins were 65.5%. Pricing continues to be a key focus for the group, and this improvement demonstrates the success of our operational efforts. On a like-for-like basis, our cost base increased by 3%, pretty much in line with inflation. The improved cash flow in the year led to lower gross borrowings and together with reduced base rates and finance charges reduced compared to last year. The tax rate on adjusted PBT reduced slightly to 22.7%, and this compares to 23.5% last year. Looking at below-line expenditure, acquisition costs were GBP 400,000 higher than a year ago due to there being more acquisitions than last year as well as aborted acquisitions. And share-based payments returned to a more normalized level this financial year. The next 3 slides provide a bit more detail on the financial performance of the 3 segments. Let me start with the Products division. This division showed organic growth of 2.8% with GBP 1.6 million of the revenues coming from acquisitions. I'm pleased to say that the Products segment showed good organic growth over the second half of the financial year. As Stephen mentioned, Atik, Graticules and Fraser all saw revenue growth, Atik through growth in the professional astronomy market. Applied Thermal Control saw a slower market for its chiller products as this industry adapted to regulatory changes in its end markets. Margins improved through operational efficiencies through a combination of better gross margins, restructuring and operational gearing. Next, the Sensors division. This division showed a 1.6% organic decline with GBP 1.2 million of the revenues coming from the Peak Sensors acquisition. The organic decline was largely caused by a post-COVID normalization of ordering patterns at Astles for their chemical dosing systems, and this follows 3 years of strong performances by that business. As Stephen mentioned, MPB, Chell and Sentek all had good years. Chell and Sentek saw a heavy second half bias to their performance, which led to the Sensors division showing some organic growth over the second half. Margins was largely held in this division at 26.4% compared to 26.8% last year. Next, the Laboratory Equipment division. Clearly, this segment saw a tougher period of trading with an organic decline of 5.8% over the full year. Safelab and Monmouth both saw a heavy second half bias to their results, and this led to the segment being broadly flat over the second half, and this was encouraging. LTE had a slower period of trading due to lower activity on environmental test chamber contracts and a slower NHS market. The lower revenues overall net operating margin reduced to 11.3%. Turning to cash. It was a successful year cash-wise with cash generated by operations reaching nearly GBP 13 million and free cash flow after leases were about GBP 7 million compared to GBP 3.4 million in the previous financial year. Over the year, working capital reduced by GBP 1.3 million, which is a positive outcome. A lot of effort was made to manage inventories and to reduce overdue debtors. And this resulted in a broadly flat inventory position at the year-end and debtor days reducing from 46 to 44 at the end of April. Trade debtors reducing overall by GBP 0.4 million. Customer advances increased by GBP 0.6 million, following a large advance received by Atik in the year. Excluding acquisitions, our working capital as a percentage of sales improved to 18.6% at the end of April. This compares to 19.8% at the end of the last financial year, also excluding acquisitions in that year. The GBP 7 million of free cash flow was used to fund 2 acquisitions in the year. These cost GBP 7.3 million between them, and this is more clearly illustrated in the next slide. This slide shows graphically the movements in net debt. The GBP 13 million of cash generated by operations is on the left-hand side of the graph in gray, and our utilization of that cash is illustrated on the right-hand side in black. We ended the year with GBP 13.8 million of debt, excluding leases and deferred consideration compared to GBP 13.2 million at the beginning of the financial year. Our leverage at year-end was 1.1x net debt to EBITDA, which is within the Board's preferred range of 1x to 1.5x. At the year-end, we had headroom of about GBP 10 million, and we have a further GBP 5 million accordion option available at our bank's discretion. There was GBP 0.6 million in outstanding deferred consideration at the year-end, and this is expected to be paid in the first half of financial year '26. It's worth noting that the acquisition of Severn Thermal Solutions in early June for GBP 4.8 million utilized some of this headwind. Now I'd like to hand back to Stephen, who will take you through the outlook.
Stephen Mark Brown: Thank you, Ami. Great job. A lot of us look forward to the next year. For the future, our strategy remains consistent, and we will continue to drive organic growth by investing in new product development, promoting synergies and driving operational excellence across the portfolio whilst also pursuing high-quality acquisitions. We entered the new financial year with positive momentum, underpinned by a strong order book. While we remain mindful of wider economic uncertainties, we are confident in a resilient business model and the long-term opportunities and drivers within our markets. Our acquisition pipeline remains robust and actively managed, and we continuously review the pipeline, which is supported with there being a wealth of niche engineering and manufacturing businesses, both in the U.K. and internationally seeking to exit where SDI would be a natural fit, and we have the capacity to execute on these opportunities. With all of this said, we expect to deliver FY '26 results in line with market expectations and are confident in our ability to generate sustainable long-term value for all of our stakeholders. Of course, the strong results reported today would not have been possible but for the hard work and dedication across the SDI Group. So I would like to thank them for all of their efforts and hard work. I would now like to open up for Q&A. Thank you for listening.
Operator: [Operator Instructions] I'd like to remind you that recording of this presentation along with a copy of the slides and the published Q&A can be accessed via your investor dashboard. As you can see, we have received a number of questions throughout today's presentation. And Ami, at this point, if I could hand over to you, that would be great, and I'll pick up from you at the end.
Amitabh Sharma: Okay. First question for you, Stephen. What impact are you seeing to the business from the introduction of tariffs?
Stephen Mark Brown: Yes. Thanks, Ami. And I say there's several questions on the same thing. So around 10% of our earnings in FY '25 came from direct sales to the U.S. with a minimal exposure of U.S. government contracts. We do not anticipate that the introduction of tariffs on the products sold to the U.S. or a reduction in our federal grant funding for the U.S. life sciences research sector will have a significant impact on the group. And to that, we are holding guidance for FY '26.
Amitabh Sharma: Second question, what impact does the group anticipate from the changes to employers NI contributions? That one is for me. I think we've talked about this previously. The impact of employers NI and indeed the increase in the minimum wage means that we will see about 600,000 impact for the FY '26, so for the full year impact. That's already included within the guidance that's out there. So it's already been baked in. Right. Next question. When do you expect to appoint division business leaders? That's for you, Stephen.
Stephen Mark Brown: Yes. We step ahead. So we already have. We've recruited a division leader for the Lab Equipment and also for the Industrial Products division as well. At this point, we do not intend to recruit one for the Sensors division. So yes, I'm quite excited about these individuals starting to make an impact.
Amitabh Sharma: Okay. Next one is for me. R&D tax credit is much lower. Is this lower level permanent? No, we're still getting an R&D tax credit. It's just accounted for slightly different because the R&D environment and accounting has changed. We still will get an R&D tax credit, but it's worth knowing that the whole R&D tax regime is less generous today than it was a 2 or 3 years ago because of changes in the tax legislation. So yes, it will be a lower level. But you've got to remember that we're also acquisitive. So some of the companies that we buy also have R&D tax credits. So as we grow, the R&D tax credit will grow simply through acquisition. Next question. How is the order book in Q1 this year compared to the improved order book that you saw in Q4? Well, the order book, I'm pleased to say, has grown even though we haven't had the full quarter 1 yet. Today is the last day of the quarter. So we really only had 2 months. And the order book has grown slightly over the first couple of months. The second question is it's growing from the higher level at the end of Q4. So it's improved from there. And second, has Astles' bottomed out at these levels? I think the current view is that, yes, it has, and it's going to grow from here is our view at this moment. We have 3 good years. We always knew that 2020 -- FY '25 would be a slower year from a product standpoint for Astles, and that is how it appears that it has bottomed out.
Stephen Mark Brown: The start of FY '26 for Astles has been very good.
Amitabh Sharma: Okay. FY '26, unlikely to be able to make large-scale acquisition given the scale of debt and debt EBITDA. Okay. So we've got a statement there. So the way -- just in terms of where '26 will go, we've obviously made an acquisition at the beginning of the financial year or early in the financial year. But we are cash limited as you've seen from the commentary that I just talked about. We expect cash generation to continue. In the same way as you saw in FY '25, cash flow -- the cash flow will reduce debt. So in '26, what we've done, and you'll see at the half year most likely is that the debt will go up and then start coming down again as we generate cash. The same thing happened in '26. So we -- sorry, in '25. In '25, we started the year at 1.1x net debt to EBITDA. We ended the year at 1.1x net debt to EBITDA. And the -- and despite buying 2 companies, and we generated the cash to do that. And the same thing will happen in '26. How much organic growth do you expect per annum for this current group over the next 5 years? Well, we target around circa 5%, I think, is what we've said, 5% to 7%. And I think at circa 5% is what you'll see in the guidance for the current financial -- or the new financial year. Next question, some guidance, some color on order intake and performance so far this year. So yes, the order intake has been good. We started the year positively. Order book is good. So we retain confidence for the year to come. Only 2 data points, only 2 months so far. There's a lot to go, a long way to go yet, but so far, so good. Are you performing above last year? Well, our guidance is for that, and so we're confident that, that will happen. When's the Board identifies efficiencies and its belief that savings should be reinvested in the business to enhance growth rather than let operating margins drift up. So I think it's about reinvestment in the business to enhance growth and to lower the margin, I think, is the next question. Well, we're already doing that. If you look -- if you think about it, if we're appointing division leads, we are already reinvesting in the business to help enhance growth. Some of the responsibilities of those divisional leads will be to generate synergies and help us generate organic growth. So I think we can do both. We can probably enhance growth by reinvesting as well as holding operating margins. I think 15% is a reasonable level, but we do have acquisitions which do impact upon the overall group net margin. So net margins will move up simply because of a mix effect. It's not simply growth in the existing portfolio. Current brokers seem to assume no organic EBIT growth. Is this not too conservative? No, I think there is organic growth. I think you will see EBIT growth, and you will see organic EBIT growth. I don't think it's too conservative. No, I don't see it that way. And what is the margin potential for the current group over the 5 years? Well, we're looking at -- I mean, I think if you think about net operating margin, then I think anywhere between 14% and 15% is really where we are with the current group as it's currently structured. But as I just said, new acquisitions will influence our net operating margin. That's adjusted EBIT margin, I think, is how I define that. And I think that is it. A minute -- any more questions? Please ask, I think we've commented. We have no more. There we go. We have one more. Sorry. How much will M&A contribute to EBIT? Well, we added about GBP 700,000, I think, to the contribution for Severn. So that was already included. And I think there will -- I see. Now some of the acquisitions are -- we had to normalize some of their costs to under SDI. So the pretax EBIT -- the pre-EBIT as declared for each of the companies do have some corrections such as rent or additional management introduced to them all. So we won't see the whole of the EBIT that you saw pre-acquisition within SDI. We do normalize it, and you'll see in each of the press releases how much a normalized figure is. So it's slightly lower than the figure that the question asked, which is GBP 1.5 million of EBIT, which I think is from all the pre-acquisition numbers on the press releases that we sent out.
Stephen Mark Brown: There's also one about multiples as well. We have -- the classic SDI model is based on 4 to 6x goodwill or 4 to 6x adjusted EBIT. We're holding that. If a business has got much higher growth potential, for example, it will be likely towards the upper end. But typically, and you'll see pretty much all the acquisitions we've done do fall within that range. So there's no reason to change that at this point, and we're not seeing any reason why we need to either.
Amitabh Sharma: Okay. Other scientific instruments and R&D-focused companies are having problems in their end markets, university, pharma, life sciences, research centers. Why is that not the case for SDI?
Stephen Mark Brown: I tried to address that at the top of the call. Our exposure, particularly judges call out specifically U.S. life sciences research. We don't have that focus nor do we have that -- are we so susceptible to those markets either. We do have the breadth. Most of our U.S. markets is industrial. So we tend to be a lot more immune to changes there.
Amitabh Sharma: Okay. How do you define effective capital allocation? And then how do you retrospectively assess? Well we do this in terms of planning process. So clearly, we invest in the businesses through CapEx. Typically, that's around 2% of revenues. We do it bottom up. We don't do it top down. Businesses during the budgeting process ask for CapEx. And we -- if there's a business case, we will support it. And generally, there is when they ask. We obviously then use our capital to -- or our cash generated to acquire companies. So that you can see through our results. We do consider dividends annually. At this point, we don't see -- we think there's a better use of our cash in acquiring companies than paying a dividend at this point, but we do look at it annually. Next one. Do you consider SDI Group to be part of the serial acquirer ecosystem? Many of these businesses are in the Nordics, but some are in the U.K. And if so, do you look to any of these businesses for best practices approaches to deal sourcing and capital allocation?
Stephen Mark Brown: The answer to that is yes, most certainly. We always look to peers to see if we can improve processes. We'll never be the perfect business. We continue to learn and improve. So of course, looking across peers. I'd like to hope as well that our peers do the same with us as well.
Amitabh Sharma: Is 5% to -- between 5% and 7% organic growth already feasible this year. Well, we still think so. It's a range. So we think -- and even -- and I think the guidance out there is circa 5%, I think. So yes, it's -- we're cognizant of the macro environment, but we still think we can deliver organic growth, and the order book is what's driving that. How important is the contribution of Atik to the group on sales and EBIT?
Stephen Mark Brown: Atik remains to be a strong contributor to the group. In fact, it's one of the strongest as we stand here today. So it continues to do it to be important to us. So yes, we have supported Atik quite considerably. We've spoken earlier slides about the improvements we've seen there. And I'm delighted to see the performance in Atik just improving, particularly in the professional astronomy side, where they have secured a very strong contract going forward. So Atik is looking to be in a very strong position right now.
Amitabh Sharma: Can you touch on the service revenue growing nicely as a percentage of sales over time? Any target here?
Stephen Mark Brown: I don't think we have a formal target, but it is very much on our agenda to try and grow services revenue in.
Amitabh Sharma: Yes. Every company we've got does have service revenue to a lesser or greater extent. And clearly, service revenue as we see it as recurring revenue is always a very nice thing to have. So we are focusing on it. What, of course, is it needs to be profitable and that does vary across the group somewhat. So we're going to be focused on the more profitable service businesses. So I think watch this space. But yes, we will be -- that's a metric we will be tracking internally. How is management incentivized do you hold stock?
Stephen Mark Brown: So there's -- so we obviously have -- as well as the base salary. I assume you're talking about executive directors here. There's a bonus, an annual bonus, part of which is paid in shares and some of it is paid in cash. For the last financial year, it was all paid in shares. And there is a long-term incentive plan, which is over a 3-year period, which requires growth in -- 50% of it requires growth in EPS from a baseline year to the third year. And then the other half is total shareholder return, which is measured against a basket of 20 companies. And the -- it's all detailed in the annual report, which will be coming out in a couple of weeks or 2 or 3 weeks. But there's a basket of companies against which we are measured over a 3-year period in terms of shareholder return. And I think we do hold some stock over time with these long-term incentive plans and deferred bonuses into shares, we look to that you should see us increase our holding of stock. But the Board does hold stock, including the Chairman. So there is a holding there. And you can see it in the back page of the presentation, which will be -- go live after this meeting.
Amitabh Sharma: What is the synergy potential for the company? That's a good question.
Stephen Mark Brown: Yes. So if you're talking about internally, we've already spoke to some synergies earlier in the presentation, but it's something which is quite important to us. Although we are operating as a decentralized model. We don't have a large head office team, and we're not likely to either. So really, we have to cherrypick and really do and promote synergies where synergies does actually make sense across the group. We can't force them. But certainly, last year and into this year, we're seeing significant ones. I've already spoken about the group marketing function, for example, and also where companies came together to close much larger bids. So it's happening more and more. But again, it's really where it makes sense.
Amitabh Sharma: Okay. Revenue exposure from the public sector. We do have some -- I mean we don't necessarily collect that data simply because of our model of distributors, we can't always be sure where our product goes via distributors. So you can't necessarily always know where the end markets are. But we do have some revenues with the public sector, predominantly the U.K.
Stephen Mark Brown: Most of that is -- the biggest exposure is within the lab group. The other 2 divisions has got very little exposure from the public sector. So you do see a lot more in life sciences and biomedical. So that -- so if you want to look at our exposure, so it will be a small percentage of the lab equipment.
Amitabh Sharma: Okay. I'm just seeing if we've got any that we've missed as we've been working through them. I think -- we are nearly at the end unless someone has any more. Okay. We've got one late one in. What new products do you have planned in the current year?
Stephen Mark Brown: That's a good question. So last year was a big year for product launches, as you've seen. We listed some of them, certainly not all of them. What we're looking for is to really start reaping benefits from the ones that were launched last year. SDI as a group, because we do high-tech niche products, we have to stay ahead of the competition and continue to deliver products which hit market requirements and needs. So we do continuously reinvent and re-innovate, which is important. So we will never stop that. But at the moment, the focus is really getting return on the one that we launched last year, like for example, LTE, so new auto range was launched last year, but we really need to be seeing the revenue come in this year. Synoptics, again, Atik are continuing to stay on top of regulatory drivers with new gases coming into vogue, et cetera. So that's just a continuously evolving cycle right throughout the group.
Amitabh Sharma: Okay. How much growth in order intake did you have in FY '25? Very significantly higher. It was in double digits in percentage terms is what I can tell you, very significantly higher. That's a good one. Do you expect EBIT split half 1, half 2 FY '26 to be more evenly spread versus last year? Very good question. We do expect a heavier half 2 split again this year simply because of the timing of some contracts that we are -- we have at the minute to execute where the customer wants the product to be delivered in half 2 and just generic budget timing of when we think the revenues are. So you will see a heavier or a more second half biased performance in the current in FY '26, just like you saw in FY '25. So Yes, no, it's not going to be evenly spread. It's going to be more second half weighted.
Stephen Mark Brown: As Ami says, once we start dissecting the structure of the order book, there is some significant contracts in there and significant contracts do take longer to deliver, which is why we are expecting somewhat of a split this year.
Amitabh Sharma: And the same individual asked the follow-up question. It's asking a very good question here, but growth year-on-year in both half 1 and half 2. If you're talking about FY '26, that remains to be seen. There will be growth in half 1. Clearly, it was a heavy half 1, half 2 bias in '25. It remains to be seen what the growth year-on-year will be in the next year. But ultimately, we're really just working towards a full year impact. If you think about it, it's the full year growth that's really important. rather than whether half 1 or half 2 of organic decline or organic growth overall, it's the year-end that's the key.
Stephen Mark Brown: We are seeing a change in the trend of the revenue across the group, whereas before it was a few very large orders. Now we're seeing a lot more of a spread across the group. So more of the businesses are contributing to the overall top line. And to that, really, that's why we're getting a change in the dynamic and a change in the timing.
Amitabh Sharma: Okay. It looks like that was the last of the questions. And so I think we'll conclude the Q&A.
Operator: That's great. Well, Steve and Ami, thank you very much for answering those questions from investors. And of course, the company can view all the questions submitted today, and we will publish the responses on the Investor Meet Company platform. But just before redirecting investors to provide you with their feedback, which is particularly important to the company. Stephen, could I just ask you for a few closing comments?
Stephen Mark Brown: Yes, of course. I'd really like to thank everybody for attending the session. We at SDI are delighted of the progress and the delivery of the strategy, which we outlined last year. And I think that's really important to us. So last year was very much -- it was delivery of the strategy. And this year has been no different. We're going to continue to deliver to that strategy. We did see a strong financial year last year. Our optimism into this year continues. So I think I'm particularly excited about this year also.
Amitabh Sharma: Thank you all.
Operator: Well, that's great. And thank you once again for updating investors today. Could I please ask investors not to close this session as you'll now be automatically redirected to provide your feedback in order the management team can better understand your views and expectations. On behalf of the management team of SDI Group plc, we'd like to thank you for attending today's presentation, and good afternoon to you all.